Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma’am.
Kathleen Quirk: Thank you and good morning, everyone. Welcome to the Freeport-McMoRan first quarter 2018 earnings conference call. Our results were released earlier this morning and a copy of the press release and slides for today’s call are available on our website at fcx.com. Our conference call today is being broadcast live on the Internet. And anyone may listen to the call by accessing our website homepage and clicking on the webcast link for the conference call. In addition to analysts and investors, the financial press has been invited to listen to today’s call and a replay of the webcast will be available on our website later today. Before we begin our comments, we’d like to remind everyone that today’s press release and certain of our comments on the call include forward-looking statements and actual results may differ materially. We’d like to refer everyone to the cautionary language included in our press release and presentation materials and to the risk factors described in our Form 10-K and subsequent SEC filings. On the call today are Richard Adkerson, Red Conger is here, Mark Johnson is on the line, Mike Kendrick is here as well. I’ll start by briefly summarizing our financial results and then turn the call over to Richard, who will review our recent performance and outlook. As usual, after our remarks, we’ll open up the call for questions. Today, FCX reported net income attributable to common stock of 692 million for the first quarter of 2018 or $0.47 per share. That included net credits of 13 million or $0.01 per share in the first quarter. Our adjusted earnings before interest, taxes, and depreciation for the first quarter of 2018 totaled 1.93 billion. There is a reconciliation of the EBITDA in the back of our slide deck on slide 27. As summarized on page, Roman numeral 7 of the press release, our EBITDA was reduced by 135 million in the first quarter associated with the impact of the decline in copper prices during the period from $3.28 at the start of the year to $3.04 per pound at the end of the first quarter. The adjustment relates to sales that were provisionally priced at year end that were marked to actuals during the first quarter and sales that were open at the end of the first quarter and those were marked at $3.04, which was the forward price at the time of our quarter end. Our provisionally priced sales are mark to market until final settlements occur. Our copper sales during the quarter were 993 million pounds, gold sales were 610,000 ounces and we sold 24 million pounds of molybdenum. Gold sales were above the year ago quarter by a significant margin, but we're about 10% below our guidance of 675,000 ounces because of maintenance on the ore flow systems in Indonesia. Our first quarter 2018 average realized copper price was $3.11 that was above the year ago quarter average of $2.67 and gold prices averaged 1,312 per ounce in the first quarter of 2018. That was also higher than the $1,229 per ounce level in the first quarter of 2017. Our unit cash cost, net of byproduct credits, for our consolidated operations, averaged $0.98 per pound in the first quarter of 2018. We generated strong cash flows above our capital expenditures. Our cash flows from operations in the first quarter totaled 1.4 billion and that exceeded our capital expenditures of 400 million. We continued to strengthen our balance sheet. During the first quarter, we repaid borrowings totaling 1.5 billion and in April, in the second quarter in April 2018, we repaid 454 million in debt associated with the early redemption of higher coupon notes. We ended the quarter with consolidated cash of 3.7 billion and our consolidated debt totaled 11.6 billion. So, our debt, net of cash, was below $8 billion at quarter end. We had no borrowings and 3.5 billion available under our revolving credit facility at the end of the quarter. We reported earlier this week that we have entered into a new $3.5 billion five year revolving credit facility to replace the existing facility, which was scheduled to mature in May of 2019. We’re pleased with the outcome of the new arrangement, which is substantially similar in structure in terms to the prior facility. Also during the quarter, our board of directors reinstated a cash dividend on our common stock, which we’ll talk more about financial policy, but the first quarterly dividend of $0.05 per share will be paid -- has been declared and will be paid on May 1. I’d now like to turn the call over to Richard who will be commenting on our slide presentation, which is located on our website.
Richard Adkerson: Good morning, everyone. Refer to slide 3. Today, we're actually mailing out our annual report for 2017. You see a picture on the cover and some comments that are summary comments from the annual report. It reflects our leadership position in the copper industry. We operate – we’re the largest operator of copper mines in the world. We operate all the mines that we have interest in. We have a set of high quality assets that would be very difficult to replicate in today's world and a very experienced team of mine developers and operators that are well respected and have had great success in developing and operating mines and our company has a focused strategy as we go forward. With respect to financial policy, on the next slide, we have a balanced approach. Over the past two years, we've been very successful in taking our debt down from unsustainable levels to below our targeted levels actually. And as we look forward, we will be generating substantial cash flows in excess of our capital spending and we will use those cash flows to further reduce debt. We're assessing future investments and we have a number of alternatives that we are pursuing and we’ll move forward with in a disciplined way and we started paying a dividend now and so we're focused on returning cash to shareholders over time. We'll continue to delever. We will invest in a disciplined way. We will look to increase the dividend either as regular dividends or as special dividends, we go forward in the future. In the first quarter, we maintained our focus on productivity cost management, cash discipline and as Kathleen said, our operating cash flows exceeded our CapEx by about $1 billion. Our unit net cash costs were below $1, significantly lower than the year ago quarter. We repaid $2 billion of debt and our net debt is below $8 billion and we're working hard to advance planning for our development activities. Copper markets, every quarter, I get a one page report from our marketing team about copper markets and I'm just going to read the headlines of the report I received yesterday. Copper demand steady after a quiet spot market in the US, positive sentiment in China, European cathode consumption, improving as scrap is driving up, Japanese copper sectors are positive. That tells the story about where we are and today Steve Higgins sent me a note saying that we're getting a great start off into the second quarter. We supply about 40% or so of the copper used downstream in the US market from our mines in the US. And right now, we're actually having to purchase cathode in the marketplace to meet the demands of our customers. The long term fundamentals for copper are increasingly strong, was down at Cisco and that was a common theme, you hear from everyone. Deficits appear inevitable, absent turmoil and downturn. In China, the global economic situation and with the low carbon environment is very positive for copper with electric vehicles and alternative energy generation. We have significant leverage to copper prices and we're positioned to take strong advantage of this. In Indonesia, you're aware that in 2017, we reached a framework for our long term resolution to provide that stability. And that’s our key to have stability through 2041, the term of our existing contract with fiscal terms and legal terms that would be stabilized and not subject to future changes. We made continued progress. We have motivated parties to this on our side, on the government side. I met with the finance minister in Washington next week where she was there for the -- in Washington last week where she was there for the World Bank meetings and did a presentation and she reaffirmed the government -- the president's objective of getting this resolved and was optimistic about it. We're working to complete negotiations and the required documentation as quickly as possible. Where we stand now, the government is in negotiations with our joint venture partner about the potential acquisition of that joint venture interest. That would be very positive for us where negotiation of shareholders' agreement to deal with the issue of managing the business, it's important for us that we continue to have control over the way the business is managed and its financial policy. We're working on the form of the stability agreement. Both parties recognize the objective of stability and we need to have this in a form that is satisfactory. And we're dealing with some new environmental claims that have come out of the Ministry of Environment and Forestry. These were really shocking and disappointing to us and they don't really deal with the technicalities of environmental management, but the new position really expresses a fundamental view about the way the tailing system is managed. Back in the 1990s, in a transparent and comprehensive process, we, our joint venture partner and the government reached a conclusion to deal with the real complicated challenges of managing tailings at the Grasberg with its high elevation, high ranged ball and extraordinary large volumes. We all agreed at that time that we would use a river system that was designated to transport the tailings [indiscernible] and the tailings would be a positive out there, positive there with a portion going ultimately into the Air Force C. That was concluded to be the best system then. We’ve now operated it for 20 years. The good news is it has operated as it was designed with no unanticipated, with no unanticipated impacts. Our tailings fortunately have chemistry that makes them benign. There have been no human health issues or impacts on the environment that wasn't anticipated. It was always controversial, but it was a decision that was basically said, are you going to develop this mine in this location or not. And it was agreed to, we followed it, we're going to work with the government. In a complicated system like this, there are always technical and environmental issues to deal with. We have and we will continue to work cooperatively to deal with that. But you simply can't say 20 years later, we're going to change the whole structure of what we're doing, you can't put the genie back in the bottle. And so it -- we're surprised others in the government are surprised and it's just something that we'll have to work with. I'll tell you this, it has no impact on our view of the value of our asset. Now, we did have a very positive development with the government. Just last week, we had had had an ongoing dispute with the province, over the province’s imposition of a surface water tax that was contrary to our contract of work. I want to say at the very outset is that we want to support the province. Since 1996, roughly 20 years ago, we've contributed over $700 million voluntarily to a fund to support the local community and we continue to devote 1% of our revenues to support that fund. Under the new agreement, we're working with the government in terms of taxes and royalties of greater percentage of those payments to the central government will go to the province. We're very supportive of that. So it's not a question of Freeport not supporting the province, it was a large assessment that the province made arbitrarily contrary to our cal, our total exposure was on the order of $500 million. We were disappointed that the Tax Court did not rule in our favor, but the Supreme Court did and the good news about it in the Supreme Court's finding, they pointed out that our contract was approved by the government in 1991 that it’s binding on the government and on the regional government that the contract is specific in nature, Lex specialis, which means that it is a law that overrides general law and it governs the operations with the parties. The contract, provides it should be carried out in good faith. It was a very positive decision by the Supreme Court and we congratulate the government in this step in establishing the rule of law, which will encourage further investment in Indonesia. So we are encouraged -- we're continuing to work with the government. The next step is completing the divestiture process. Grasberg Block Cave had significant progress in the first quarter. We actually commissioned the train and track that to keep part of the system while delivering over to our mill from there. We also commissioned a major uploading station. Significant work has been done to develop this high grade large scale mine. This is the same ore body that we're mining from the pit. We're just simply using block cave mining rather than surface mining. It is a major resource, almost 1 billion tonnes of ore that's over 1% copper and over 0.72 grams of gold over the life. It makes it very profitable with a very low cost, just in going forward. As we look at what this is, it really, as we complete mining from the pit, which we expect to do by the end of this year, there will be a ramp up period like a new project because we can't mine underground until we're out of the pit because of the subsidence of the surface underground and so this is really like starting up a new mine and there will be a period of time of ramp up, beginning in 2019 and within a three year period or so, we'll be up to full production from that. The good news is, we're ready to go with it. I mean, the basic system is in place. That's a big step. It’s like completing the mine at Cerro Verde. I mean, if you looked at this project over a number of years, there were risks associated with it and we said that we needed those risks. I want to address the deep MLZ mine. This is a separate ore system, which report begin mining underground in the early 1980s and it has successfully extended that ore body separate from the Grasberg ore body at deeper levels and the deep MLZ is the most recent extension that started with a near surface mine and went to an intermediate mine, the DOZ mine and here we are now. Now, it is a distinct post rock situation from the Grasberg Block Cave. The rock here is much more competent, hard. It has substantially more – is substantially lower from the surface and so it has a different rock characteristics and pressure environment. We have been ramping this mine and we began to encounter mining and used seismic activities. This is not earthquakes or natural systems, but as we create the Block Cave, it has created seismic events that has caused us to slow down the development to manage this safely. Our first priority is to keep our people safe and we're doing that. We had some new events in the first quarter and so we're not able to meet the schedule that we had planned going into the quarter. But our team and we've got a world class team of outside experts that’s meeting with us continually on this. I had a report from this past week and we have got a plan to help deal with this safely over time. We do not expect this and are confident that it will not affect our longer term mine plans, our ultimate reserve recovery. In fact, our new adjustment for our five year plan from the underground, we have higher volumes coming over the next five years than we did going into the quarter. But near term, we are modifying our mine plans and we're continuing to review it and it's just one of those things about mining that you have to deal with. And as I said, we're being cautious because we want our people to be safe, but we're confident we can deal with this. So talk about another project, the Lone Star Oxide development project that we reported on previously, reserve of 4.4 billion pounds of copper. We have a project in place to invest $850 million and we will be able to use the production infrastructure and facilities that we have at the adjacent Safford mine, which is a mine that began production 11, 12 years ago and now has available capacity to take this new oxide or we began pre-stripping in the first quarter. It will be a very profitable high return project, 200 million pounds of copper a year with a 20-year mine life, cash cost of $1.75, over $1 billion NPV plus $3 copper and -- but importantly, it will strip this oxide and waste layer from this area, exposing an increasingly attractive sulfide deposit. And to show what that is, on slide 11, we show recent intercepts of our exploration drilling, which we have done some in the past and we're initiating a new program and it’s some very attractive intercepts in this area, in this environment. You can see the last two intercepts or drilling that's been done this year, we're continuing to drill. This is pointing towards a mineral system that could well be consistent with a nearby Morenci mine. It could be that large and so it's a great indication of the future of our company right here where we have existing operations in a community that's supporting of us and it could be very, very large and this is new information for us in terms of the extent of it. Page 12, I won’t go with this because we review it every quarter, shows just the number of opportunities we have to develop our reserves. Our 2P reserves are over 60 billion pounds of copper. And then at $2 copper, this is in the Americas, in the US and in South America and we have huge volumes of mineralized material and potential associated with this. This is low risk development, extension of our existing operations. We're doing tradeoff studies now to see where our first step will be in developing this resources. In my personal view, this is a key asset of our company. Our outlook for 2018 is presented on slide 13. It's consistent with our previous guidance and we will be generating, at today's copper prices, substantial cash flows well above our capital expenditures, which will allow us to progress our financial policy, our sales profile numbers is shown on page 14. 2019 reflects the completion of the mining of the open pit at Grasberg and the beginning of the ramp up of the underground mine there. The adjustments that you see there of about 150 million pounds reflects the issue that we have with the Deep MLZ and that reflects also, you can see the 2019 goal and we will again emphasize that this is not lost resource. This is a question of the timing of when we access to it. We're going to access it as quickly as we can, consistent with maintaining the safety of our people and our operations. Our standard slide on EBITDA and cash flow is presented on page 15. Average EBITDA at $3 to $3.50 copper is roughly 6 billion to 7.5 billion. This is a three year average from 2019, 2020, 2021. Average operating cash flows from $3 to $3.50 is 4 billion to 5.5 billion. Capital expenditures are roughly in line with our previous guidance. The major projects include the continuing Grasberg underground development and Lone Star. We have been very aggressively, for years, constraining our stay in business, our sustaining capital and now we're having to spend some money to deal with the deferrals that we had in previous years, but we will be very disciplined the way we spend capital and generate lots of cash flows. A slide we're all proud of here at Freeport is on page 17. We went into 2016, $20 billion of debt, lots of uncertainties. That time a year ago, on this call, I said we would try to reduce our debt by $5 billion to $10 billion over a two year period. We’re now less than 8 billion and as we look forward to the end of the year, we will have this debt down with copper prices on the order to roughly $5 billion to $6 billion. So great success story. Reference slides included there, so I want you to quickly go through those slides to give us time for questions. And operator, we will open the call for questions now.
Operator: [Operator Instructions] Our first question will come from the line of Matthew Korn with Goldman Sachs.
Matthew Korn: So you've taken down, looking at your slide deck, you’ve taken out 2019 expectations pretty substantially, making it even more of a transition year. With the DMLZ the main factor it appears, are there any other changes or reductions across the regions embedded in that 2019 number? And then is there any flex available across the other assets that could make up any of that production to the upside?
Richard Adkerson: The answer to your first question is no, there's -- I mean every quarter, I think you all know we don't have an annual planning exercise. We update our plans every quarter. If you had seen Red's team in here last week, and this is just the normal ups and downs for the rest of our operations. Outside of Grasberg, outside of PT-FI, there's really no magic bullet we can do in the short run. We have a mantra of pushing safe production and we do that continually and we’ll continue to do that. We are working to progress the Grasberg Block Cave mine and we're making some progress in seeing how to maximize that as we go forward. Interesting time for the remainder of 2019 in the pit as we -- 2018 in the pit as we finish mining in the pit and try to get as much out of that as we can. So this is really a factor of having these seismic -- mining and do seismic events that were not anticipated, not in our original plans and so this is one of the things you deal with in mining and that's what's causing this impact.
Matthew Korn: Got it. Now let me ask more in the immediate than. Could you tell us a little bit more about what prompted – what looked like to be the unexpected maintenance activities here at Grasberg, what the status is there and then when you're thinking about today, looking through the rest of the year, what are the main risks you think the output reaching your expectations there at that mine.
Richard Adkerson: Okay. So, the Grasberg development is now 20 years old. I mean, we began production of the expanded facilities in January 1998. That was when we built our big sag mill and the ball mill systems. We completed the overflow system using these ore passage ways and developed a system of ore delivery from the passageways to the middle. So the truth is these things have [indiscernible] and we've had a system of maintenance. In doing a current review of that, these problems were really in some ways a function of the times we've gone through in recent years of where our production has been interrupted by export bans, labor issues and so forth. And so now that we're operating in a normal fashion and our mill, our mine rates, our labor situation has been very good and we return to a more normal function. As we ramped up, we found that we had these ore delivery system maintenance issues. We realigned resources in Indonesia, but we also marshalled resources from our global team and have sent them out there to rectify the situation. And so we are dealing with it. This will be something that is important to us as we have the high grades from the pit in the remainder of 2018 and then as we ramp up the underground, it is important that we have the ore delivery systems operating effectively. We've also had, along with that, some issues related to our -- the ore that we're feeding into the mill and that is a point in time issue. We're not mining waste -- we're mining ore and some of that ore, as we mined it, has been placed in the bottom of the pit, which you know the conditions out there are very wet and that's created some of this ore having a stickiness to a clay like situation to it, which is complicated, both overdelivery through our ore passes and the feed into the mill. So there's some special point in time operating issues related to where we are in the pit and we're addressing those and then we're addressing these maintenance issues to not only allow us to operate effectively for the rest of the year, but also to then have the systems ready for the ramp up of the underground ore from the Grasberg block cave that's going to start very early in 2019.
Operator: Your next question comes from the line of Lucas Pipes with B. Riley FBR.
Lucas Pipes: I wanted to follow up a little bit on the situation in Indonesia. Richard, last quarter, you were pretty outspoken in terms of the likelihood of a resolution. How do you see things, where do you see things standing today? How quickly do you think you can look towards a resolution at this time? Thank you.
Richard Adkerson: Okay. Thanks. I've retained my optimism. The reality is the government late in 2017 concluded that they needed to do a due diligence process. I mentioned this last time, they hired an internationally known investment bank, a major accounting firm, international lawyers and a mining due diligence firm out of Australia to assist them with that. That process took longer than I expected. This is a government entity with a lot of players involved that are experienced in doing things like this. So it's not surprising, but it took long. It appears and these parties will speak for themselves because we're facilitating negotiations, but not participating in the negotiations, the negotiations between our current partner and our future partner. So it's a sensitive matter for us. And those negotiations have started. You have an apparent willing seller, certainly a motivated buyer, indications are that the President of Indonesia remains focused on seeing this deal through. That was -- been expressed to me by government officials and while the process, because of the due diligence thing is taking longer, is still on track. This environmental decree and I'm concerned that behind it was political motivations rather it’s certainly not technical motivations. They're setting in the decree standards that don't apply to us as we speak, but set a timetable of six months that just can't be achieved. We had an agreement with the government that over the life of the mine, we would retain 50% of the tailings own land. They are now saying it should be 95%, which just cannot be done. They set suspended solid standards that are actually lower than natural sediment standards that would go through the river system. I mean it's 200 versus an agreement that we've had for 20 years of 18,000. So this is not good news, but it's so out of bounds that I'm very confident we will get this done. It's just -- it's taken some work to do it, but it's not something that I've got you on a technical issue, it is a revisit of the whole system and you can't revisit a system that was agreed to 20 years ago and have been operating effectively over 20 years with no unexpected environmental consequences. Benign tailings are being deposited in an area where they can be reclaimed. We grow agriculture projects there, the system needs drinking water standards. There's no impact on marine life. There's a thriving mud crab industry in the area, people fish offshore where we are and so this is a distraction, but you all know over time we have to deal with political issues and this is one of them.
Lucas Pipes: Thank you very much for that and I noticed there's a Presidential election about 12 months from now. Do you think there's a risk that negotiations will continue to drag on and potentially reach a point where it just makes more sense to conclude them after a new President is elected?
Richard Adkerson: Well, the presidential elections are -- will occur in 2019. There's regional elections that occur this year by the second half of this year. It will be in full swing campaigning and you have to say that that's a potential risk. It appears that the President would like to get this resolved before that. He's very popular. I mean, his favorable ratings are on the order of two-thirds. And he's done a good job in managing Indonesia, such a large diverse population and economy in a complicated world. So, but realistically, you have to say that that is a risk. We don't see anything to interfere with our operations. The government needs and desires now to make sure that we operate and they collect their taxes in all of these and our positions about the long term are very clear. With where we are, it's important for us to continue to operate the rest of this year when we have such a favorable ore to process and profit from altogether and it's not just us, but it's the government also. It's a reality and a potential factor that we'll have to bring into play. We want to move this as quickly as possible and I know there are those in government who do as well.
Lucas Pipes: Thank you very much, Richard and maybe one last one to squeeze in and to change the topic. You’ve always been very focused on the Indonesia situation, but more recently, thinking a little bit more about growth and then restarting the dividend, from here on out, where do you think would you, outside of Indonesia kind of spend your focus, what is most important to you and to what extent does M&A also factor into those considerations? Thank you.
Richard Adkerson: So you're correct about focus. I mean 2016 was a focus on de-leveraging, 2017 was a focus on Indonesia. By the fall, I’ve been spending a lot of time with Red and his team who've been working all through this period in running our operations and looking at the future. And so I’ve spent a lot of time in, when I was in Santiago talking with other companies about their plans, how people are sizing this up, what projects they have, when are they proceeding with them and so we are doing tradeoffs about basically two large projects right now and we have a series of others that will follow, but it's looking at the El Abra opportunity in Chile, which would be a major Cerro Verde type project with the added requirement for a salt water desalination plant and pipeline to take the water up to highs and we are 51% owner with Codelco. We met with Codelco people there. They are positive about the project. They're going through changes right now with the change in government. And then our Bagdad mine in northwest Arizona is, read my winces, a more straightforward project because it's a basically mill expansion but we have to deal with tailings area and water, which we worked on for years. And so those are the two that we're teeing up and so what am I looking forward to is announcing the new projects, announcing, last time I said I was looking forward to increasing the dividend. The board did that right after our call and initiating the dividend and we are -- it's great to see a future of where we can build shareholder value out of these resources where we're not getting value today. We know we need to convert those resources in to cash flows. We will get value. I'm very confident about the future of the copper business. That confidence is shared by my peers in the industry and so we feel a little great about it, we don't have to do anything right now. I mean, it's still a question with all these trade issues floating around. We need to see how those sort out. We're not, as a company, directly affected by. The copper is correlated to economic activity and these trade things affect economic activity. That's a factor. So feel really great about where we are, great about our company, our assets, our people and the direction we're going in and we'll always have issues to deal with like the Deep MLZ stuff and the best mine. I mean, you go back and look at all of big mines around the world that had times to deal with this, the great news is the resources there were a long term business and that resource is going to create value for our shareholders.
Operator: Your next question comes from the line of Chris Mancini with Gabelli & Company.
Chris Mancini: First question is, just relative to your -- to the costs in North America and South America specifically, it looks like they're -- they crept up a little bit from last year and -- but it seems like there's some of it which should be somewhat temporary in terms of either lower grades or higher maintenance and repair costs. The big picture question is to what extent are you seeing kind of general mining inflation, to what extent is this temporary and then also to what extent is this like you were saying Richard catching up from not spending on maintenance capital in the past and if that is the case, how long would you expect to have to continue to kind of catch up.
Richard Adkerson: Okay. So you start with the fact that a significant portion of our input costs are correlated with copper prices. That does make sense. You know you think about things that drive energy cost and steel cost and contractor cost and all those sorts of things, so our job is to find ways of mitigating these inherent increases by being more efficient. Red made a presentation about that at the Cisco conference in Santiago, go to that website and you can see what we're doing. We haven't bought, I mean, Caterpillar had great results today and it's always a key indicator for us. They are kind of an index on infrastructure spending around the world. But we haven't built a new truck. We haven’t bought a new truck at Freeport since the financial crisis. We are rebuilding trucks. We're taking frames and component parts. We’re extending the life of our tires. We're using all these sensors on all of our equipment that’s feeding all this data in to systems that make us better able to control what operators are doing and how we do this. So you have this dynamic of input cost increasing, efficiencies have an impact on mitigating that and then the issues you pointed out about graves and so forth and that's going to go up and down within a relatively narrow range over time.
Red Conger: In the short term, we're also increasing the mining and the production rate, those are kind of front end loaded cost wise before we really start to see the pounds coming out later in the year. So that's part of it.
Richard Adkerson: That’s right. El Abra was constrained, when prices were down. Sierrita was. Those mines are making money now and so we’re having to spend some money to take advantage of that.
Chris Mancini: So like so you're doing more shipping –
Kathleen Quirk: And I was just going to say, we’re not showing significant changes in our cash cost trajectory going forward. During 2015 and 2016, we took a lot of steps to maximize cash flows and we do have some catch up that we're doing, but we're operating now in more of a normal situation and so we don't -- we're not seeing a lot of cost increases or decreases in the near term, except for the kinds of things Richard talked about, the things that would be correlated with energy prices or other currencies or other movements that are correlated to the copper price.
Richard Adkerson: And our current outlook for sustaining capital I think is a good longer term outlook. It’s not something that's going to be increasing that, but we can't keep it at 500 million for an operation like this. It’s going to be more in order of $1 billion a year.
Chris Mancini: And then the second question is for Grasberg, on slide 23 of the presentation, you have your production outlook. How much will you need to be mining from the underground in order to achieve that guidance and how much are you mining now from the underground and so like I guess my question is what's your expected ramp rate from the underground and what are the real inherent risks to getting there and achieving this guidance.
Kathleen Quirk: As Richard said, at the end of 2018, we expect to see some mining in the open pit. We will have some stockpiles that will mine, but those aren’t anything of great significance for the long term. So really all of our production will start to come from the underground mines for operating the DOZ mine currently and the forecasts include roughly 40,000 tonnes a day from DOZ. Our Deep MLZ ramp up, we expect to ultimately get to 80,000 tonnes a day from that mine and right now our projection is we’ll get there in the 2021, 2022 timeframe. And in the Grasberg block cave, we will be ramping that up and we expect to get to roughly 100,000 tonnes a day from that mine in 2022 and the ultimate production from that mine we expect to be in the 130,000 to 160,000 tonnes per day range. But in terms of the Deep MLZ and the Grasberg block cave combined by 2020, from those two mines, we would expect to average about 70,000 to 75,000 pounds a day combined in 2020 on average versus in capacity, which will be 80 plus 130. So something on the order of 200. We do have and Mark Johnson is on the line and he can comment about this. We do have, in the Grasberg block cave, access to higher grade material in the earlier years. So even though we're in a ramp up period, we still will have the benefit of accessing some higher grade material from that orebody. As Richard said, it’s the same orebody as our Grasberg open pit, just a different mining method. But Mark, I don’t know if you want to add anything to the comments about the ramp up?
Mark Johnson: Yeah. Fortunately, the highest grade ore in these ore bodies is also the most capable. So it makes sense that we start there from both an economic and a mining method approach. As Kathleen said, in the early years of Grasberg, it’s well above the ore body average. We're well above 1.1% copper and one gram, 1.2 grams for much of that ramp up period. The same for the Deep MLZ, we have exceptional grades, we start off in 1.6 copper and about 1.6 gram per tonne gold. So both of those are -- offset the lower tonnes as we wrap up and then as we get up to a steady state on the production rate over about a 5 or 6 year period at the Grasberg and we expect the same with the deep MLZ after we get the seismic event or seismic situation resolved. These ramp up rates are what we were able to do in the DOZ 10 years ago as we ramped up. So a lot of the ramp up is based on how quickly you can advance the undercut. You concurrently develop the extraction level, which is the drop bells and sequencing of the mine over the long term. So these are things that we've done in the past with the DOZ and we're applying. We've got better construction techniques now. As far as the overflow systems, going forward, Richard mentioned that a lot of the infrastructure that we have now is dated as we shut down the pit, much of that older system is mothballed and will be relying on, the majority of the ore flow system will be brand new systems that we built for both Deep MLZ and GBC. So we'll be starting fresh with new infrastructure that's all been done at a very high standard. So we're very optimistic on the ramp up of both of those mines, both the Deep MLZ and GBC. Big Gossan also, smaller mine but very high grade. It's about 2.5% copper equivalent and we're ramping it up also, it has the potential about 100 million pounds a year and about 60,000 ounces, not a large mine for PT-FI, but still a very significant contributor to what we're doing in the future in the underground.
Chris Mancini: Okay. Got it. Okay. So in 2020, because of the higher grades, you only have to do 70,000 tonnes per day from the DMLZ and the Grasberg block cave combined and then as you ramp up the throughput from the underground to 2021 and 2022, the grades will decline and that allows you to achieve the -- and then eventually even 2023, you should even see a bigger increase in -- or as you progress in 2023 and beyond, a bigger increase in throughput. And should production increase in 2023 and beyond or will grades like continue to decline because it's fairly steady?
Mark Johnson: It's fairly steady. We get up to that 200 plus 200,000 tonne plus range that Kathleen mentioned. And then the grades in the Grasberg steady for quite a while. We end up with a little bit higher grade towards the end again. So it's somewhat variable, but we've got a long term outlook that shows, as you know, very much over 1 billion tonnes a year and gold very. We've got slides I know that we’ve shown in the past that show the underground era and it's in that 1.5 million ounce range longer term.
Kathleen Quirk: Yeah. And that’s 100%. So we would have 50% of that.
Richard Adkerson: So, our reference slides have that. I mean we’re just casually mentioning an underground operation feeding 200,000, to 240,000 tonnes per day of ore to a mill. I mean, I thought that others in the industry and people are just, they're just amazed by -- it's the infrastructure there is truly amazing. So first time ever and we're very confident with it.
Operator: Our next question will come from the line of Oscar Cabrera with CIBC.
Oscar Cabrera: I'm just going to start with your development projects. I must admit that until you started focusing on Lone Star and realize that the resource grade was 0.61%. So as you're looking at the future of the company, with El Abra and Lone Star, could you comment on what do you think is, you look at the projects and what's more favorable to you? Is it all of the advantages that they have in the US or is it, if it's really now with requirements for this on that, so like taken on the list.
Richard Adkerson: Well, that's what we're trying to decide. I mean, it's in some ways comparable. 11 years ago, when we bought Phelps Dodge and we looked at El Abra, all we could see was the oxide project and a sulfide project and that was it. We drilled these core holes, found this enormous resource and now we're working to take advantage of it. People have known about Lone Star going back to the 1960s. And now we're drilling it and we're getting real stars in our eyes about how really big this thing could be. I mean, we're talking about something that might could well be over the years another Morenci type deposit. But that's going to take some time. We're going to evaluate that. We have, as I said, a much more straightforward expansion project available to us at Bagdad and that's where the tradeoffs that you're talking about really come into place, lower energy costs in the US, no labor unions, much flexible ability to adjust the work force, communities that provide education, healthcare, housing for people as opposed to our having to do all that, workers driving their forward trucks to work with a lunch pail, it is -- all of those things add up to making investment in the US relatively more attractive than it's ever been. And so that's what we’re doing those tradeoffs for and the Lone Star deal is more of a bigger picture longer timeframe type asset, but it is going to create a lot of value for Freeport shareholders.
Oscar Cabrera: Thanks, Richard. And then before I ask you the next question, it might be worthwhile just starting like a cross section of the Lone Star sulfite just to get context and then lastly just a clarification on your comments on your discussions with the Indonesia Ministry of Environment, are they expecting changes in six months? Is that the part of the discussion, because I don't -- this is not realistic and as you said, might be politically motivated, but can you provide a little bit more context on those discussions?
Richard Adkerson: Well I am as perplexed as you are and we're having dialog, we’ll continue to have dialog, not only with the environmental and forestry ministry, but with the ministers that are working directly with us on our contract situation. So this is -- we were not expecting these decrees. I had to tell you about them because they cannot be put in place. It’s not just Freeport, nobody can mine this one body in consistency with these two decrees. You just physically can't do it. So it's some of the noise that happens from time to time and we’re going to deal with this in a constructive dialog to explain. I've already -- we've already doing that, to explain the situation and talk about what realistically is do or not. It's addressing a problem that isn't there. There's no problem here.
Oscar Cabrera: Well, that's what it sounds like.
Richard Adkerson: Benign tailings that are being managed as we said we would and nobody can identify impacts of significance that weren't anticipated. It all almost goes back to the issue, are you going to develop the mine or not, because there was no way to store tailings up in those mountains and we look at every conceivable alternative. I mean, we had experts from Indonesia and around the world. It’s a public process. The Indonesian environment minister at the time said, it was the most comprehensive environmental study ever done in Indonesia and we all said okay, this is the way we're going to do it, this is the way we've done it. So anyway, I had to tell you about it, I'm confident that this is going to be dealt with.
Operator: Your next question will come from the line of Alex Hacking with Citi.
Alex Hacking: Sorry to keep harping on Indonesia, but a couple of questions if I may. You talked about the Ministry there trying to impose new environmental standards, but there's also been reports in the local press about them making a very substantial claim for damages. I think it's been reported around $13 billion, something like that. Are those press reports accurate? And is that an official claim from that ministry, legal claim or is this just?
Richard Adkerson: No. This came about because of governmental audit group that’s in some ways not totally like our GAO. It was a centralized audit group that came in and that claim is based on degradation to the tailings deposition area. Their take is a large area of land and they say that area was degradated by environmental impact. Of course, it was. I mean we had over 2.5 billion tonnes of ore to process, take the concentrate out, deposit of tailings somewhere and that's where we did it. Now to come back and say, okay, you've got to pay some financial form for doing something that the government approved, it is outrageous.
Kathleen Quirk: They haven’t presented any kind of claim. It’s in their report to these government ministries of what a number of what and potential environmental damage can be, so it’s just a number, it’s not a –
Richard Adkerson: An academic group did a theoretical study to say what happened with this tailings deposition and they used some approaches to measure environmental damage that’s huge around the world, but it's not something that is outside of what was approved. It’s strictly in this designated deposition area, where we built dikes to cordon it off and agreed that’s what we're going to put, these millions of tonnes of tailings and that's what we're doing.
Alex Hacking: Okay. Thanks. That’s very clear and very helpful. And then just a follow up on the deep MLZ, are you considering any impact there of the slowdown beyond 2019 and I noticed when you look at the guidance, you expect to make up for the slowdown beyond 2019, but I guess at a practical level, how is that going to happen, because it's –
Richard Adkerson: Deep MLZ, some of the makeup is from what Mark was talking to you about with the Grasberg block cave. So you're looking at the total production, which includes Deep MLZ and the Grasberg block cave and to a smaller degree the Big Gossan. Now, the unfortunate thing about this unexpected occurrence was the Deep MLZ, because of what Mark said having this 1.6% copper grades available to us, when we look back couple of years ago and saw this coming, we said will this previously expected fall off in 2019, it was earlier years then, which is going to be offset by this ore from Deep MLZ. Now, we've had the seismic events and that's been pushed back. So we have to be candid. We're dealing with this, there's some uncertainty as to how long it's going to take to get this block cave operating in a way of where the seismic events are not of the nature that they create risk to our people. We have a plan, we're going to report to you how that plan goes over time, but it's all dependent on the timing for that and you can appreciate, we're being very conservative with it.
Operator: Your next question comes from the line of Novid Rassouli with Cowen & Company.
Novid Rassouli: So touching on kind of what you were just stating, the deep MLZ, you guys took down your mining profile out to like 2022 if we look at kind of what you guys had last quarter. Is that just the mining, the seismic activity, bringing down all the out years as well or what's the driver of that?
Kathleen Quirk: Well if you look at the slide for the five years of slide 23, the actual total production over that period net to PT-FI’s interest is 5.4 billion pounds of copper, which is similar to what we had. I think we had 5.3 in our last plan over that period of time. And gold is similar to what we had in the last quarterly update. But what we're seeing is a shift out of 2019 and the outer years are higher than what our plan was because Deep MLZ is shifted out, as Mark said, that the beginning of the year, beginning production ramp up of Deep MLZ has higher grade. So that shift would just continue to shift it out and then also with the progress that we've made on the Grasberg Block Cave and the position we’re in in terms of the commencement of the cave in early 2019, those two factors combined bring us to where we've got better, over the long term, it's essentially the same as where we were before, but we do have this impact in 2019 that at this point, our mine plans don't show being able to make up and we're going to continue to work on that.
Novid Rassouli: Got it. That makes sense. And then looking at your CapEx, it looks like you reduced your spend for the long term PT-FI investments plans to 0.8 billion from 0.9. However, net to PT-FI remained at 0.7 billion. Would you mind us running through why the net to PT-FI number doesn't change despite the CapEx number decreasing? Thanks.
Richard Adkerson: Some of this is rounding. In other words, we give numbers that are rounded.
Kathleen Quirk: Yeah. We did reduce -- over the five years, we did reduce 100% Grasberg CapEx by about 300 million associated with the timing of power requirements and as Richard said, in terms of the sharing mechanisms that’s going to be in the large part rounding, but some of the projects we share differently than others, so we can talk to you offline if you want more over the top into it.
Richard Adkerson: I mean we have this ongoing process of where all -- our whole team is looking at this question, I’m saying that there are ways to do it cheaper better, do we have to do it now, can we defer it, it's all part of maximizing the economics of the operation and that’s ongoing. Fundamentally, nothing that’s changed.
Operator: Our next question will come from the line of Andreas Bokkenheuser with UBS.
Andreas Bokkenheuser: Maybe one last one on Indonesia hopefully, but just going back to that Ministry of Environment and Forestry issue. So just to clarify, so obviously, you’re mentioning it could very well be political, you're saying that technologically it may not be feasible. Within that, are we basically saying here that even if, I mean, that the statement was saying that it has to be a six month transitional period, even if the government came out and said, you know what, we’ll give you 24 months of 30 months or whatever. Your space is still saying that it could be done. Does that mean that theoretically worst case scenario that production line to a halt or does it mean that production potentially is going to come down 50% of what, what is the kind of the operational outcome in the worst case scenario here?
Richard Adkerson: I want to clarify something you just said. You said may not be achievable, I want to be clear. It is not achievable. There's no may about it. It cannot be done within six months, 24 months, 5 years. This is so far out of bounce. It cannot be done. And as I said, it's addressing a problem that doesn't exist. It's -- the reason I say politically, it's a revisit of the decision that was made back in the 1990s, are you going to develop this mine. I mean, we look at pipelines, we look at sea disposal, we look to build a pipeline on the other side of the mountain, we cannot store these tailings in the mountains. And the question of this stopping operations, it's not going to happen. Indonesia is looking to relying on the financial benefits that’s coming out of this mine to deal with this budgetary issues. The taxes, the royalties that they are receiving is on the order of $40 billion I think over the life of the mine and the province needs this economic impact. This is a province that doesn't have a lot of jobs, that won't have economic development. We are 95% of the economy of the Regency of Mimika. And so this is not going to stop our operations. It's a matter of education. I'm proud of the way we run this environmental thing. I expressed that to the ministers in Washington last week. We don't need to be defensive about this. We are managing these environmental issues in an admirable way, so we can show that it can be reclaimed, we can show that we're meeting drinking water standards that were -- we have land that was appropriate fertilizer can ultimately become crop land. And so there's nothing to be defensive about. There's no possibility that this is something that is going to disrupt our operations.
Operator: Our next question comes from the line of David Gagliano with BMO Capital Markets.
David Gagliano: A lot of mine have already been answered, but one different question I had. Year-end 2018, kind of I guess a nitpicky question, net debt targets for year-end 2018 eighteen increased, it was 4.8 billion previously, now, it’s 5.5 billion. If I look at the differences, I think dividend working capital changes account for about 200 million of that increase, lower CapEx is about 100 million swing in the other direction. So I’m just trying to reconcile what caused the other increase of about 600 million to the targeted net debt figure for 2018.
Kathleen Quirk: Which case you're looking at Dave.
David Gagliano: I'm comparing the 4Q slide on net debt target by year end 2018.
Kathleen Quirk: But which price sale.
David Gagliano: To the page 17 on this slide deck year end –
Kathleen Quirk: So part of it is we didn't get 325 all year, right, I mean, we’ve already through part of the year and we’re less than that. Also the previous slide was before we did our dividend. So this is net of the dividend. The other differences are the differences in the operating cash flow changes that we, that are on a previous slide. So we can walk you through it, but the main thing -- the main difference from what case you're looking at is we didn't get 325. This includes actual to the first quarter and estimates for the balance of the year based on these prices. And then we didn't have a dividend in the last case.
Richard Adkerson: So Dave, David Joint will call you and walk you through analysis on that, but there is nothing there other than what we just talked about for the rest of the group.
Operator: Our final question will come from the line of Michael Dudas with Vertical Research.
Michael Dudas: I'll try to make it brief. Good morning. Just two quick questions first. Now that the environmental issues that you discussed during the call are out in the open, what can we look for as a milestone or timing to figure out how things are working out just on that issue specifically and how it’s licensed to the overall discussion regarding the potential transactions?
Richard Adkerson: So I've expressed a concern that these environmental issues represent a distraction from going forward with a plan we’re working on. And so we have to deal with that. And at this point, the milestone will be making sure that the ministers we're doing with on the broader issue understand what this is and what this isn’t and so we're engaged in that education process right now. I mean we’ve presented written, had meetings and I'm reaching out to meet with the environmental minister to deal with this. I just have to tell you, this just came up. I mean, when was it, it was last week. Yeah. Mid-April. So you're getting this as we've got and we've got to respond to it. So I just want to keep coming back, it's addressing a problem that doesn't exist.
Michael Dudas: That's very helpful. And just my final call Richard. When you think about the planned Freeport 2.0 once Indonesia gets resolved, is there going to be acceleration on the plans you're talking about in Latin America and North America from a capital growth standpoint or you do need to wait to resolve Indonesia to really get yourselves set to track those plans or is it better just to harvest things before if you get some clarity on the other hand. Thank you.
Richard Adkerson: I will say this. I don't think given the improvement we have in our balance sheet and given where we are with Indonesia, that it's a factor, but it's not a major constraint and what we decide to do going forward. We certainly have the financial capability of doing it. Quite frankly, we're not out looking for partners in this thing. We already have a partner at Codelco, Codelco and El Abra. We are -- there's nothing compelling us to act quickly. But as we get the clarity that I think we need to have is on the global economic situation and this trade issue was a curveball for everybody and that's obviously every day -- debated every day in the paper about whether that's going to be a negotiating strategy to deal with some obvious issues in China for competition or is it going to lead to a tit for tat deal that's going to have a significant global impact. But to me, that's the big issue. You scrape that away and look at the underlying numbers, China grew at 6.8%, business in the US is really good, our customers feel good, Europe and even Japan is growing. I mean that's first time we've had this and I feel people in the industry that never seen, I've been around this industry now for a very long time. I’ve been CEO for 15 years. I've never seen a more positive outlook going into a year as we had in 2018 and then we get this trade deal that's got people scratching their heads. It clearly had an impact on investor flows and that affects prices at any point in time, but there's nothing in the underlying economies that changes. Nothing has changed the supply situation. There's -- and even these projects that people are considering are so long term and they're just going to be needed because we can’t talk about having a need for 4.5 million tonnes of copper capacity over the next ten years and when you – and that's about the size of the top ten copper mines in the world and so the world's going to need this copper and increasingly every day, you read about people wanting to move more towards electric vehicles and alternative energy sources, electric vehicles three four times more copper, alternative energy sources is four times more copper than conventional power generation and then you've got all the support that goes on with that. I mean this is a good outlook for demand and the best thing about copper is there is supply constraint. You’ve got Codelco facing challenges to maintaining production. [indiscernible] I'm a believer and I think there is consensus now.
Richard Adkerson: Thank you all of you. We appreciate it and we look forward to reporting on this -- on our progress and milestones as we go forward. Appreciate your interest in our company.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for your participation. You may now disconnect.